Operator: Ladies and gentlemen, thank you for standing by and welcome to the Second Quarter 2023 HII Earnings Conference Call. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions]. I would now like to turn the call over to Christie Thomas, Vice President of Investor Relations. Ms. Thomas, you may begin.
Christie Thomas: Thank you, operator, and good morning, everyone. Welcome to the HII second quarter 2023 earnings conference call.  Joining me today on the call are Chris Kastner, our President and CEO; and Tom Stiehle, Executive Vice President and CFO. As a reminder, any forward-looking statements made today that are not historical facts are considered our company's estimates or expectations and are forward-looking statements made pursuant to the Safe Harbor provisions of Federal Securities Laws. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For additional information regarding factors that could cause actual results to differ materially from expected results, refer to our SEC filings. Also, in their remarks today, Chris and Tom will refer to certain non-GAAP measures. For reconciliations of these metrics to the comparable GAAP measures, please see the slides that accompany this webcast, which are available on the Investor Relations website at ir.hii.com. With that, I would like to turn the call over to our President and CEO, Chris Kastner. Chris?
Chris Kastner: Thanks, Christie. Good morning, everyone. Thank you for joining us. The HII team delivered another solid quarter. Our results demonstrate continued top line growth and steady operational performance. We continue to make progress on our strategy, executing on our significant shipbuilding backlog and growing mission technologies.  Not only are we executing on our shipbuilding backlog, we are also delivering all domain solutions to our unique capabilities to connect the different platforms that our customers use to perform their missions.  Now let's turn to our results on Page 3 of the presentation. Top line growth was 4.7% from the second quarter of 2022, resulting in second quarter revenue of $2.8 billion. Diluted earnings per share was $3.27 for the quarter, down from $4.44 in the second quarter of 2022. New contract awards during the quarter were approximately $2.6 billion, which resulted in backlog of approximately $47 billion at the end of the quarter, of which $24 billion is currently funded.  In the second quarter Ingalls, we laid the keel for LPD 31, Pittsburgh, and successfully completed builder's trials for NSC 10 Calhoun. We also successfully completed acceptance trials and delivered the first Flight III Arleigh Burke destroyer DDG 125, Jack H. Lucas. We expect to launch DDG 128 Ted Stevens, and LHA 8 Bougainville and deliver NSC 10 and LPD 29. Richard M. McCool, Jr., later this year.  At Newport News, we christened Virginia class attack submarine SSN 798 Massachusetts, and redelivered the Nimitz class aircraft carrier CVN 73 USS George Washington. Later this year, Newport News expects to float off SSN 798 and deliver SSN 796 New Jersey. As I previewed last quarter CVN 79 Kennedy received the contract modification intended to optimize its construction schedule and deliver a more capable ship to the fleet earlier, which update the expected ship delivery to 2025.  Slide 4 summarizes the projected shipbuilding milestones for 2023 and 2024, reflecting the updates for the CVN 79 contract modification and an update for the expected shipment of the final module of Virginia class submarine Block IV SSN 801, Utah, which is moved to 2024.  At Mission Technologies, we saw the second straight quarter of record high revenue of $645 million, with sales growing 7.5% over the second quarter of 2022. Mission Technologies had multiple wins in the quarter across its business unit, capped off with the early third quarter win at J-NEEO, a $1.4 billion contract vehicle that serves the national security innovation network, and its mission partners by enabling the transition of innovation in both speed and scale from the lab to the battlespace.  In addition to these accomplishments, we recognized and are committed to the broader international opportunities represented by the OCAS [ph] agreement, which directly align with our capabilities in nuclear submarines, as well as other emerging technologies as set forth in Pillar 2 of the OCAS agreement.  Turning to activities in Washington, the President's budget request for fiscal year 2024 is under consideration by Congress. And as Bill's progresses through both chambers, we continue to see bipartisan support for our programs. We are pleased that the Armed Services Committees have shown strong support for shipbuilding to include authorizing funding for LPD 33 and multi-year procurement authorization for the next block of Virginia class submarines. Both authorization bills which had been passed by the respective chambers, authorized funding for the requested procurement of two Virginia class submarines, one Columbia class ballistic missile submarine and two DDG 51 Early Bird destroyers.  Both House and Senate Appropriations Committees include multi-year procurement authority for Block VI Virginia class submarines, and fund the procurement of two Virginia class submarines, one Columbia class ballistic missile submarine and two DDG 51 Early Bird destroyers. The Senate Appropriations Bill provides advanced procurements funding for LPD 33 in FY24, and a third DDG 51 in FY25. And the House Appropriations Bill includes language supporting a stable rate of procurement of amphibious warfare ships.  Final outcomes will depend on respected conference negotiations between the Appropriations and the Authorization Committees.  Now, moving to labor, through the second quarter, we hired over 3,200 craftsmen and women on a solid pace to meet our full year plan of approximately 5,000. Although we're meeting our hiring targets, attrition remains high and labor is still the greatest risk to meeting our plan. We are continuing to devote substantial effort at both shipyards in the areas of recruiting, robust training and retention of our workforce in this very challenging labor environment.  In summary, the strong demand for our products and services coupled with continued progress on our strategy of executing against our backlog and growing Mission Technologies sets the foundation for HII to continue to fulfil our mission to deliver the world's most powerful ships, and all the main solutions and service of the nation.  And now I'll turn the call over to Tom for some remarks on our financial results. Tom?
Tom Stiehle: Thanks, Chris, and good morning. Today I'll briefly review our second quarter results. For more detail on the segment results, please refer to the earnings release issued this morning and posted to our website.  Beginning with our consolidated results on Slide 5 of the presentation, our second quarter revenues of $2.8 billion increased approximately 4.7% compared to the same period last year and represents a record second quarter results for HII. This increased revenue was largely attributable to growth at Newport News Shipbuilding and Mission Technologies. Operating income for the quarter of $156 million decreased by $35 million or 18% from the second quarter of 2020 and operating margin of 5.6% compared to operating margin of 7.2i in the same period last year.  The decrease in operating income was primarily due to lower segment operating income, partially offset by more favorable operating FAS/CAS adjustments and more favorable non-current state income taxes compared to the prior year period. Net earnings in the quarter were $130 million compared to $178 million in the second quarter of 2022.  Diluted earnings per share in the quarter was $3.27 compared to $4.44 in the second quarter of the previous year. Shipbuilding results in the quarter were in line with our expectations and slightly stronger than the outlook we provided on a first quarter call. Segment operating income in the second quarter of 2022 benefited significantly from favorable adjustments from facilities, capital and economic price adjustment clauses at both Ingalls and Newport News, making for difficult comparison year-over-year as expected.  Moving on to Slide 6 Ingalls revenues of $664 million in the quarter increased $6 million or about 1% from the same period last year, driven primarily by higher revenues on the DTG program partially offset by lower NSC program revenues. Ingalls operating income of $65 million and operating margin of 9.8% in the quarter declined from last year, as expected primarily due to lower favorable changes in contract estimates from facilities capital economic price adjustment clauses, as well as lower risk retirement on LPD 30 Harrisburg.  At Newport News revenues of $1.5 billion increased by $76 million or 5.3% from the same period last year, due to growth in both aircraft carrier and submarine construction revenues. Newport News operating income in the second quarter of 2023 was $95 million, an increase of $1 million or 1.1% compared to the second quarter of last year.  Operating income was largely consistent year-over-year, as favorable VCS program adjustments were offset by lower favorable changes in contract estimates from facilities capital and economic price adjustment clauses. Shipbuilding operating margin in the second quarter was 7.4%, above the 7% outlook we had previously provided for the quarter. Our shipbuilding operating margin outlook for the full year is unchanged. We have noted previously that our expected milestones for 2023 are concentrated in the second half of the year, and largely in the fourth quarter.  At Mission Technologies revenues of $645 million increased $45 million or 7.5% compared to the second quarter of 2022, primarily driven by higher volumes and mission-based solutions, which includes our C5ISR, cyber/electronic warfare and live virtual and constructive training capabilities. Mission Technologies operating income of $9 million compared to operating income of $25 million in the second quarter of last year. The second quarter of 2022 included additional non-recurring equity income of approximately $15 million for an equity method investment in a ship repair joint venture, which was sold in the second quarter of 2023.  Cash proceeds of $61 million from the sale are included in investing cash flows. Additionally, negative equity method adjustment of $6 million was recorded from the sale of the ship repair joint venture. Current results for Mission Technologies included approximately $28 million of amortization of purchased tangible assets. Mission Technologies EBITDA margin in the second quarter was 6.7%.  Turning to Slide 7, cash from operations was $82 million in the quarter. Net capital expenditures was $68 million or 2.4% of revenues. Free cash flow in the quarter was $14 million. This compares to cash from operations of $267 million, net capital expenditures of $59 million or 2.2% of revenues and free cash flow of $208 million in the second quarter of 2022. Cash contributions to our pension and other post retirement benefit plans were $11 million in the quarter.  During the second quarter we paid dividends of $1.24 per share or $50 million in aggregate. We also repurchase approximately 37,000 shares during the quarter at an aggregate cost of approximately $7 million. Year-to-date through the second quarter, we repurchased approximately 76,000 shares at an aggregate cost of approximately $16 million.  Moving on to Slide 8, our free cash flow outlook through 2024 remains unchanged, as do our capital allocation priorities. Regarding 2023 free cash flow guidance, we continue to see $400 million to $450 million as the most likely range. We continue to work with our customer on the timing and mechanics regarding the repayment of COVID-related advances, which is currently forecasted to occur in 2023. At this time, we do not have an agreement in place that will increase our free cash flow above the guidance range we have provided.  I'll highlight that we continue to expect to distribute substantially all free cash flow to our shareholders through 2024, after planned debt repayment, which is on track.  Turning to Slide 9, we are reaffirming our 2023 segment guidance. I will also provide some color on how we see the third quarter and the remainder of the year. Regarding the third quarter, we expect shipbuilding revenue to be approximately $2.1 billion and shipbuilding operating margin to be consistent with the second quarters result of 7.4%. This expectation does imply meaningful improvement in the fourth quarter results, which is consistent with when we expect our most impactful shipbuilding milestones to occur.  For Mission Technologies we expect third quarter revenue to be similar to the second quarter results and expect third quarter operating margin of approximately 2.5%. Given second quarter results and the impact of the equity method accounting adjustment I referenced earlier we currently believe that Mission Technologies' 2023 operating and EBITDA margins are likely to be closer to the low end of the guidance ranges we have provided. We expect third quarter free cash flow to be approximately $100 million. Again, there is no change to our guidance for the year. We expect our cash flow generation will fall predominantly in the fourth quarter.  Our cash expectation is consistent with both our expected timing for milestones and our normal cash cadence of the calendar year. To summarize, the second quarter shipbuilding results were largely in line with the expectations we provided on our first quarter call. Newport News and Ingalls continued to hit critical shipbuilding milestones. Mission Technologies delivered impressive year-over-year revenue growth. The Mission Technologies team continues to capture meaningful contract wins and maintains a very robust pipeline. We have great confidence in their future and the long term value creation opportunity.  Finally, we are pleased to reaffirm our full year segment guidance as we remain focused on executing the milestones and commitments that we've laid out. With that I'll turn the call back over to Christie to manage the Q&A.
Christie Thomas : Thanks, Tom. As a reminder to everyone on the call, please limit yourself to one initial question and one follow-up so we can get as many people through the queue as possible. Operator, I will turn it over to you to manage the Q&A.
Operator: Thank you. [Operator Instructions]. And our first question today is from the line of Doug Harned from Bernstein. Doug, your line is live.
Doug Harned : Thank you. Good morning. 
Chris Kastner: Good morning, Doug.
Doug Harned : Thanks. On Virginia class, it looks the program right now is it's well behind the two per year delivery objective in Block V. I mean, do you see a path to get there? What are the obstacles here that need to be overcome to get to that rate?
Chris Kastner: Yeah, the largest obstacle, the largest risk on the VCS program right now is labor and meeting our labor targets. We've worked hard here in Newport News to hire. You saw in my prepared remarks we're ahead plan of over 3,200 heads for the year. So that's some positive indicators. But it's -- this is a labor driven issue. And as I said, we've made good progress. We just need to continue to do that over the next couple of years.
Doug Harned : And when you look at Newport News, you're a partner with Electric Boat on Virginia class, but you're a subcontractor on Columbia class. I mean, how do those different relationships affect the way in which you work with Electric Boat on the programs?
Chris Kastner: Yeah, so it's not a material difference. Obviously, you have contractual differences. But when you get down to the deck plate, those teams work very closely together. There's a relationship that's been developed over a number of years between the two teams. And when you think about the efficiency of getting the work done and potentially transferring some work back and forth, there's obviously contractual mechanisms that need to be put in place under Columbia that you don't need under the Virginia class, but they work very closely together.
Doug Harned : So there's no, in your mind there's no real effective difference in the way -- there's no sort of preferred relationship here that one works better than the other?
Chris Kastner: Not really, the objective there is to get these critical assets to the fleet as soon as we can. So the team works very closely to ensure we're working on that.
Doug Harned : Okay, great, thank you. 
Chris Kastner: Sure.
Operator: Our next question is from the line of Robert Spingarn of Melius Research. Robert, your line is now open. Please go ahead.
Rob Spingarn : Hey, good morning, Tom. Just a clarification on…
Tom Stiehle : Good morning.
Rob Spingarn : Thank you. And Chris then a high level one for you. But Tom, on the margins, at Mission Technologies, you talked about the 1.4%, but a $6 million impact from the sale of the JV. So was that impact built into the guidance?
Tom Stiehle : No, it wasn't built into it. It wasn't until right now. So…
Rob Spingarn : All right, so this is why you're tracking to the low end. Is that how I should interpret that? 
Tom Stiehle : Right, yeah. 
Rob Spingarn : Okay, then Chris, a high level question, but between shipbuilding and MT, I thought it might be interesting to hear you talk about how these two businesses can contribute to two priority areas for DoD, and that's CAC C2 and Contested Logistics?
Chris Kastner: That's a really good question. You kind of teed me up there, interesting, the line acquisition, they have really great AI/ML products and big data products that fit right into CAC C2 and potential CAC C2 missions. And when you think about data and big data and the speed in which data can be understood, it fits right into the contested logistics model as well. We're a LVC enterprise that is not just training. It can fit right into a war gaming concept. Think about war gaming, you think about Op plans. You think about op plans, you have to think about contested logistics.  So we have products that that can quickly be adapted to deal with those two issues. We've had high level conversations with the Navy, and other customers about potential applications there. So we think we can add to those products set. We think they're important product sets. And we'll continue to talk to the customer about it.
Rob Spingarn : Thanks so much. 
Chris Kastner: Sure.
Operator: Our next question today is from the line of Pete Skibitski of Alembic Global. Pete, your line is now open.
Pete Skibitski : Hey, good morning, guys. 
Chris Kastner: Good morning. 
Pete Skibitski : Chris, on the hiring, can you give us the actual net hiring, your net retention numbers kind of after attrition? And maybe can you gauge a level of revenue that could be at risk if you don't meet your net goals for the balance of the year?
Chris Kastner: Yeah, so we don't provide the right net. There's a lot of things going into that equation. We have over time, we have attendance, we have attrition, we have Job Shop labor that can contribute to that. I will say there's potentially some upside if we're able to continue to meet our hiring growth goals and deal with attrition over the balance of the year. But we just need to see how the year develops.
Pete Skibitski : Got it, okay. And then I want to ask about the Kennedy contract mod, it was a little under $4 million on the mod. Does it raise your -- now that that's in place, does it raise your confidence level in terms of how your performance on that project could trend through next year and, and the potential milestone opportunities for you on the project?
Chris Kastner: Yeah, I know the team did a really good job incorporating the PSA work into the baseline contract and assessing the schedule and. And we're putting the work or integrating that work into the baseline schedule. We're confident the way that Kennedy is developing, they're meeting their compartment completion goals. They're -- their test rates proceeding and the plants proceeding. So we got a lot of confidence in where the Kennedy is at right now.
Pete Skibitski : Okay, maybe another way of saying it, are the milestone opportunities on the Kennedy meaningful relative to other programs, or should we not, focus so much on the Kennedy?
Chris Kastner: We're just going to have to see. We're going to have to let things play out over the next 18 months, 18 to 24 months. It's a lot of critical work in front of us. But potentially, if we continue to perform well, there'll be milestone opportunities for sure.
Pete Skibitski : Okay, okay. Thank you.
Chris Kastner: Sure. 
Operator: The next question today is from the line of Seth Seifman of JP Morgan. Seth, please go ahead. Your line is open.
Seth Seifman : Hey, thanks very much. Good morning. 
Chris Kastner: Good morning. 
Pete Skibitski : I wanted to ask in Mission Tech, looking at the margin there, and then looking at the contract mix is -- fixed price is a relatively small portion of the mix. I think it's like 12%. And so when you think over time about the profitability that you want to see in that business, and it seems to be an environment where there are more opportunities in the Fed IT services market right now. Is that something that the business is going to try to move higher? Or is that not really consistent with the risk profile that you want to take on?
Chris Kastner: Yeah, so we believe it will move higher. We're going to -- you indicated that the majority of those contracts are cost plus. That's true, I think over 80%, which drives the margin rate a bit lower. The team at our Mission Technologies is -- we're focused on technology there. So there's going to be a lot of cost plus work, but they're competing very well also and in their pipeline, there is fixed price opportunities, and we're going to pursue those where those make sense. And if we're successful, the mix should improve a bit and margin will improve. Tom, do you have anything on that?
Tom Stiehle : Yeah. So you are right, Seth, CD 7% is cost of [ph] contracts. I would say that there is a move afoot. I mean, we kind of realized the customer sets that we have in the portfolio, there is a move to try it. And as we introduce more technology, that will bring about potential premium on pricing on that front. And then as we get away from services and more into products, that's not an area too where we could see an expansion of the margin on those jobs.
Pete Skibitski : Great, thanks. And then just a real quick follow up, Tom, the Q3 cash flow target that you gave, what does that contemplate with regard to the advance repayment.
Tom Stiehle : So right now, a little color on that right. So we got an extension on that. It was supposed to be repaid by the end of June. It was a two month extension. So in negotiations, the Navy's now going out and understanding how we'll transition the contract back from the advanced prog pay that was in place since 2020. I don't have a negotiated settlement on that yet. So I don't know what that's going to entail.  The guide assumes that there's not a payback right now on that. And we'll have to work ourselves through that as we go through here. So that's a normal run rate that we expect for the quarter. It doesn't impact the guide of 400 to 450 that I've said for the entire year. And I would tell you that the best way to model it and take a look at it is stick to that guidance right now. I think another 60 days, we're going to look see and what that negotiations entails, the timing of it, and the impact, although then we have some significant milestones in the back half of the year.  So I have three deliveries, two launches, and one float off. Every time I have a delivery, we liquidate the contract. I get the contract price, the Navy gets the ship. There's some retentions for work that was incomplete there. So there's opportunities that's there to work those retentions off. And that's an opportunity for both margin and cash. And then as I work myself to the back half of the year with LTE 29 is not going to hit this year or next year.  We're still holding that milestone as a 2023 event. But I would take a look at cash just from now through 2024, the milestone chart that we gave you, the five year look. It's 1.2 billion over the next 17 months. And I'm still comfortable that we're on target to kind of make to make those goals. 
Pete Skibitski : Great. Cool, thank you very much.
Operator: The next question today is from the line of Myles Walton of Wolfe Research. Please go ahead. Your line is now open
Myles Walton : Thanks. Was hoping you could comment on two items. One, the 801 module move. And I guess does that put any pressure on the margin guidance range for this year? And then also on LHA-8, were there any costs that you had to absorb in the quarter or was it minor and sort of non material?
Chris Kastner: Yes, I'll handle that and Tom can chip in if he needs to. So 801 had some late breaking rework that pushed up module to the beginning next year. It was late in the year delivery. So just modest, really not a material impact that, as I said to Doug previously, teams pretty good at moving work back and forth to ensure they do that as efficiently as possible. So not a material impact on 801.  On LHA-8 I think, first things first, I don't want to just kind of gloss over a pretty significant thing that we like. We really pay attention to in the shipyards is the fire on LHA-8, first thing you have to do is make sure everybody's safe. The team did a really good job. The first responders made sure no one was hurt. Just minor smoke inhalation. But the shipbuilders, and the Navy personnel were safe.  Second thing is to limit the damage. They did that, really minor damage to one compartment, some waterways [ph]. We put a corrective action plan, did a root cause analysis. We're working through that corrective action plan now. So the important thing is that we learned from this issue. So no real cost, or cost to schedule impact that's material on LHA-8, and the milestones for that that ship remain intact.
Myles Walton : Okay, thanks for that. And then just on the buying out of Honeywell's portion of the Savannah River JV, what's the expected outflow for your incremental portion being acquired?
Chris Kastner: Yes, so it's already in, right.
Tom Stiehle : So we paid that. Right now it's in the -- you can see that in the cash flow investing is $24 million on the out and we expect to get additional margin and cash in the out years. We haven't defined that. 
Myles Walton : Thank you. 
Chris Kastner: Thanks Myles.
Operator: Our next question is from the line of David Strauss of Barclays. Please go ahead. Your line is open.
David Strauss : Great, thank you. Good morning. 
Chris Kastner: Good morning. 
David Strauss : Tom, can you just give us an update kind of working capital progress year-to-date, it's tracking? I think you're about 8% of revenues now net working capital if you're tracking where you would expect it year-to-date, remind us again of what you're expecting at the end of the year. And what you're baking into the '24 free cash flow forecast.
Tom Stiehle : Yeah, so I am on plan. And consistent with the forecast and discussions we've had past earnings releases 8% about right of where I find myself right now, popping out of this quarter. I work myself through the back half of the year with the shipyards to get around the 6% target that we've talked about. And then there is some tailwinds as we go from '23 to '24, consistent with what we've had, in past discussions.  We used to think of for Mission Technologies the 6% to 8%, was the norm of where we think working capital would be in the yard as Mission Technologies has grown. And we've gotten to more of a cadence between the two yards and our shipyard production programs.  I look at it more as 4% to 6%. And we'll finish this year out on the higher end of that range. And then as we work ourselves into 2024, we'll be on the low end of that range here. Just the cadence making milestones or schedule deliveries, we settled down both in material and the labor that we give me some status about. And that's going to bring about some consistency and keep us in the norm range, as I see in the coming years going forward.
David Strauss : Okay, great. And then follow-up in terms of the shipbuilding margin, that's implied for Q4, are you or are we potentially looking at a margin at Ingalls in a similar range to kind of what we saw in the first half of 2022, when it was strongly in the double digit range? And if LPD-29, that delivery does slip, how much risk is there to the Q4 margin guide? Thanks.
Tom Stiehle : Sure. So we don't give specific forecasts by each yard. But obviously, we can do the math here. It's 6%, 7%, [ph] at the first quarter and 7% for this quarter for Q2 for shipbuilding. And we're guiding 7% for Q3. It's in the low to upper ranges for Q4 and the 9% for shipbuilding across both yards. I'm very comfortable with that. I think I gave an answer earlier, but I'll hit it again. Yeah, we still have three deliveries, two launches, one float off all in Q3 and Q4, heavily loaded in Q4 timeframe.  Both of the deliveries themselves that are upcoming, and the two that we've had this year, have retentions and releases associated with that, that bring both margin and cash. And then on the back half we have some smaller incentives and some change adjudication to that will play out. So I think '23 is opposite of '22. We saw a very strong first half, specifically, as you mentioned Ingalls is in the 13% to 16%, Q1 and Q2. I won't get into the breakdown in the yards as a forecast for the back half of 2023. But I'm comfortable that back half is going to be meaningfully higher than the front half, with the pacing here for the first half of this year.
David Strauss : And the risk around if LPD 29 slips, the delivery.
Tom Stiehle : So it's at the very back half of the year here. As we come through we've talked in the past, whether the deliveries are clean, or the timely or do they go around what we want with a lot of retentions or not. Right now LP 29 is progressing well. We don't see any avenue that is our way right now. We'll have five months of things to do, taking the ship to see and burning down risk there. But we'll have to see how that plays out. I don't want to overly play my hand on that.  It's one ship and one milestone in the context of the shipbuilding here. So I don't think it will either overly hurt or overly help us. And I think I think the guide's appropriate right now. We still maintain the 7% to 8% shipbuilding margin by yearend. 
David Strauss : Thank you.
Tom Stiehle : Thanks. 
Operator: Our next question is from the line of Gautam Khanna of TD Cowen. Gautam, please go ahead. Your line is open.
Gautam Khanna : Hey, good morning, guys.
Chris Kastner: Good morning, Gautam.
Gautam Khanna : Hey, I was wondering, remember when the fit up came out, and there were different schedules for various ships, in terms of delivery dates and the like. And I'm just curious, relative to the prior update, I was curious if you had any better color on how to reconcile that with your own expectations for delivery dates over the next couple of years. 
Chris Kastner: Yeah, I can start then then then Tom can chime in. I think it's context and timing on those delivery dates, and really assessment of risk. They might move a couple of months or have a different representation of deliveries a couple months, one way or the other. But we assess our, our EACs and our schedules on a very consistent basis. You're looking at a one time adjustment potentially or notification to Congress. So I really think it's a context issue more than a more than a disconnect. Because we work very closely with our customers so that they understand where we are from a schedule standpoint, how we're assessing the schedule. They have their own point of view on the schedules, and it's very reconcilable.
Tom Stiehle : I don't really have much more to add on that. On an annual basis as the NDAA and the budgets pop out, and then obviously we take a -- look at the [indiscernible], which gives you a five year look at the forecast on funding perspective, we reconcile where we stand. It's a cross reference of what we do anyway, every 13 weeks doing EACs and we make sure that we align actuals to date and estimates to complete where we are with our labor and material performance and burn and expectations of future performance. And all that gets baked into revised EAC that marries home, to an updated long range strategic plan that we have, a labor resource plan and then the master construction schedules that we have at each site.  So we're locked tight with ourselves. And then we have monthly reviews with our program offices into our customer. So I don't think there was any disconnect there.
Gautam Khanna : Okay, and just if you wouldn't mind providing the EACs the net EACs by segment and also there was some language in the release about VCS favorable variance. Could you just give us a quick update on how that that program is performing? And if there was a favorable EAC on that program in particular? Thanks.
Chris Kastner: So the net -- I'll start with the VCS performance then Tom will talk about the net EACs in the quarter. So yeah, VCS is definitely showing some stability and some positive momentum. So as Tom said, we assess our EACs every quarter and there's nothing material to note, but there is some -- the team's working very hard, the program team, on VCS, to meet their milestones and meet their cost targets, in really kind of a difficult macroeconomic environment. So there is some progress there.  There's definitely some progress on stability on VCS. I continue to think the best thing we can do on the VCs program is meet our commitments on the block for contract, get those ships and modules out and then transition into Block V where we have more where we have more opportunity. So with that Tom the EACs. 
Tom Stiehle : Yeah, and the favorable, the gross favourable was $72 million, unfavorable was $52 million. That net was $20 million. And that was that was made up of $17 million Ingalls or 85% and $3.9 million or 15% in NMT. There was no specific favorable or unfavorable. That was material. Thanks.
Gautam Khanna : Great. 
Operator: Our next question today is from the line of George Shapiro from Shapiro Research. George, please go ahead. Your line is open. 
George Shapiro : Yes, Tom. If you just look at the free cash flow implied in the fourth quarter, the midpoint's around $360 million. Of the milestones that you have listed for Ingalls in Newport for the fourth quarter, what are the key ones that would contribute to that? 
Tom Stiehle : So I think it's a host of it. You can run down if you go to the slide on the milestones, the launches and the deliveries that we've talked about, the retention releases on delivered ships. We've talked about adjudication to change. There's some minor incentives that we pick up too. So usually because of the seasonality, you do see Q4 to be very strong for us. We saw that last year with over $0.5 billion in Q4. So I think the plan and the milestones are situated for us to generate that same type of result this year.  I would want to clarify, it's early. I think I want to make sure everyone understands what I said the guide specific -- the guide specific for Q3 assumes that there is a repayment for COVID right now. My comment was since I don't know of any change with the Navy, and what that could do, we are sticking to how we guided at the beginning of the year 4 to 450 with the COVID repay is going to occur this year. If and when that changes and we know how much we will give you some more color. I would expect that come the November call for Q3 we'll have a real good look at the milestone performance, how the rest of the year is wrapping up and we anticipate when the negotiations with the Navy is behind us, and give you more color on that. 
George Shapiro : Okay, thanks very much. 
Chris Kastner: Thanks, George.
Operator: Our next question is from the line of Ron Epstein from Bank of America. Ron, your line is now open. Please go ahead.
Ronald Epstein: Hey, good morning, guys. Just a couple of quick ones. 
Chris Kastner: Good morning. 
Ronald Epstein: Could you speak a little bit about the DDG-51 award that was pretty gigantic? How that's going to play out? Was it a competitive bid? I'm guessing it was right? And now you're thinking about that? But let's start with that.
Chris Kastner: Yeah, so DDG-51, excellent job by the Ingalls team competing for that. It was competitive. There's a standard competitive environment between the two shipyards, both of which are very, very capable shipyards. Getting awarded six is very positive, just shows the demonstrated proficiency of that Ingalls team on executing. Obvious we've delivered DDG-125 already. And we're proceeding on the next three destroyers. So really, really a positive indicator.  What it does is provide a lot of stability for Ingalls moving forward. That should fix ship by combined with LPDs and support for LPD 33 and potential bundle arrangements for LPDs and LHA moving forward provides a lot of stability for Ingalls. And it's very positive.
Ronald Epstein: Got it? Got it. And then on the Savannah River stuff, my understanding of how the accounting would work, that you guys would potentially take a gain, right. I think that's how it works. Are you deferring it? Or did you take a gain in the quarter?
Tom Stiehle : No, we didn't take a gain in the quarter right now. So we become a higher owner of the joint venture, still a minority owner, but a higher owner of it. So as proceeds are released, it's consolidated. How that's recorded as gains happen in the future, they'll be higher than what we've had in the past. So I expect that to play out over the next couple of years.
Ronald Epstein: Got it. So it wasn't like an event where you could mark to market and your carrying value would be greater or whatever. 
Tom Stiehle : No. 
Ronald Epstein: Got it. Got it. And then can you just speak a little bit to how it's going in terms of retention of employees and how the workforce has evolved here as we recover from kind of all the COVID disruptions?
Chris Kastner: Yeah, workforce is definitely evolving. Ron, thanks for that question. As I said previously, hiring is better, right. The applicant rate is better, but retention is still a challenge. And what we're finding is the days of hiring someone, training them and sending them down to the deck plate are really over. We need to ensure that the new hires that don't come through our established programs, because the apprentice school, community colleges, the high school programs are still very successful, when it comes to retention. But the walk-ins, we need to make sure that we shepherd them through the process of the next, 12 to 18 months of their employment, to make them understand that this is a good career, and there's opportunity for growth and stability.  So that's really the fundamental change is the walk in applicants are just not the same as they used to be. So that's what both Ingalls and Newport, Newport News are working on.
Ronald Epstein: Got it? All right. Thank you very much.
Chris Kastner: Sure. 
Operator: And the next question is from the line of Noah Poponak of Goldman Sachs. Noah, your line is open.
Noah Poponak: Hey, good morning, everyone. 
Chris Kastner: Good morning, Noah. If I take the MT revenue guide to be flat sequentially in the third quarter, I think we'd have to be, maybe down a little or flat year-over-year in the fourth quarter to be at the 5% for the year, after being kind of six to eight through the first nine months of the year. So how much of that is just kind of leaving some conservatism there? How do you see the MT organic revenue growth profile from here?
Tom Stiehle : So, at 645, that's a record quarter that they've had followed, 624, which was the previous record quarter. Feel comfortable with right now. I think 645 is a balance between -- there's new awards that happened -- occur and then get delivery orders funded and awarded for that, get heads in here. I do think there could be some upside here. So we'll see how that plays out. We look at a Mission Technologies, they grew 4%. Last year each of the six business units grew. We see quarter-over-quarter, it's 7.5% sequentially, grew over 5% right now.  So I think north of 5% is the right way to kind of take a look at that. We'll see how that plays out. They on a good string right now of awards. And they're working hard to kind of fill the seats, funded seats that they have. So it's going to be a function of awards and labor as we go forward. But I'm feeling good about the pipeline I have there. Although the book to bill is low right now. I think that's going to come on in the back half of the year. We'll see that pop up on. There's still a plethora of awards for Q3 and Q4 that we're keeping a close eye on here right now.  I think that business is starting to really play out and justify the acquisition of alliances, as we see a sales ramp that's happening.
Chris Kastner: Yeah, so Noah, I could I could add that, not to jump into the early wins in Q3, but on a total contract value, not just awarded, we're almost $4 billion of awards for this year, which is really a record for [indiscernible] and Mission Technologies together. It's kind of unprecedented. That team is really doing very well and will create a lot of stability into the future and potential growth, for Mission Technologies.
Noah Poponak: Okay, appreciate that. And Tom, the 7.7% to 8% for the full year shipbuilding margin, it's a relatively tight range. But if I keep it flat sequentially in the third quarter, to get to the low end of the full year, the fourth quarter would need to be close to 9% and to get to the high end, it would need to be close to 10.5%. Can you speak to where in that range, do you see I know the milestones need to occur and every milestone is different. But where in that range, do you more likely see the 4Q shipbuilding margin falling?
Tom Stiehle : Yeah, I think we're splitting hairs right now. I mean, you can see that there are a lot of milestones out there. Things and then there's incentives and adjudication to change to that occur, LPD 29 a piece of it, although we said early it's not a big swinger, but it does contribute to the margin and the end results. I wouldn't want to get too precise. I mean, 7.7% 8.0% is pretty precise right there. But I do expect it when you run the math we said 6.7% 7.4% through Q2, another 7.4% about for Q3.  We will be in the 9%s for Q4 is the math of it. And I feel comfortable with what's on our plate, the performance I see today. The avenue, I speak daily and weekly with the CFOs out in the yard. So I know what's in front of them and what has to get done both from a performance end of it and then what has to get done on the contract side. And we're very much in place to finish up in that range. 
Noah Poponak: Got it? And then just one other item, back to that attrition question, Chris, has the rate of attrition slowed through the year? I know that's another kind of specific question, but it seems like a pretty important element into your total labor equation.
Chris Kastner: So it's definitely lower than it was coming up COVID. It's been pretty consistent this year. I don't I haven't seen a lot of slowing in attrition this year. It's still the walk in early career people that really aren't prepared for the rigors of shipbuilding. It's a challenging job. And we're just working very hard to get them prepared to understand the real benefits of being a ship builder.
Noah Poponak: Okay, thanks, guys. Appreciate it. 
Chris Kastner: Sure. See you Noah. 
Operator: Our next question is from the line of Pete Skibitski of Alembic Global. Pete, your line is now open. 
Pete Skibitski : Yeah, Chris, although we've talked about this, but the Navy, I think is working up the strategy for the Nimitz retirement. Then there's an RFI out there. Can you talk about -- if you think HII will have a roll on that? Maybe the timing and sizing of that. Just your thoughts on that overall?
Chris Kastner: Yeah, so we will absolutely have a role in it. There's a lot of planning going on within the Navy and Newport News on integration of RCA, OHS, and retirements. We obviously did the enterprise, uniquely qualified to do it. And so it's really kind of an advance planning, actually, because it's kind of a dance between the RCA OHS and then finishing the ships and doing the DND.  So absolutely. It doesn't change my perspective about the long term growth rate of the business. It's integrated into the forecasting. And Newport News will probably do that work.
Pete Skibitski : Okay, but maybe it's like a mid decade to slightly after mid-decade before it starts?
Chris Kastner: I hate to give you a specific time, but it's integrated over the next, 10 to 15 years, to 20 years, actually.
Pete Skibitski : I see. Okay, thank you.
Chris Kastner: It's all in the mix. It's all in the mix, Pete, when you think about their plan, and how we forecast the long term growth rate of the business. 
Pete Skibitski : Got it. 
Operator: Thank you. I'm not showing any further questions at this time. So I'd now like to hand the call back over to Mr. Kastner for any closing remarks.
Chris Kastner: Yeah. Thank you for joining us today. We appreciate your interest in HII and look forward to continuing to engage with you all going forward.
Operator: That concludes today's conference call. You may now disconnect your line.